Olaf Heinrich: Thank you everybody and a very warm welcome from our side. Today, we would like to start off a little bit different than we do usually. So greetings from Pilsen. As announced at the beginning of October, we will open up a pharmacy and distribution center in the Czech Republic to be able to better serve our Austrian customers, an approach similar to what we have chosen in Italy. So what you can see here is the picture of the official groundbreaking, now it's called, and you can see our COO and Chief Pharmacist, Theresa Holler, on the right hand side and also our partner, CTP. What you can also see, of course, in reality, the construction of the building has started and is already advanced. If we now go to the agenda of today, like always, we start with the financial performance, and then we included an E-Rx update. And since we already gave in the live presentation at the beginning of October, we gave you a lot of details on our E-Rx, we thought it makes sense this time to also show some October numbers, but we will talk about this later. And then at the end, like always, outlook and guidance. If we look into the financial performance for the first nine months, you can see, I mean, our fast growth with record sales continues. It's a pretty easy message. I mean, our group sales are up 34% for the first nine months, reaching 1.7 billion. And even if you exclude MediService, you know that's been only consolidated since May 2023, the growth was still 23%. And also if we look into the non-Rx growth, we are at 20% reaching 1.2 billion and if we look into the German market for the E-Rx, I mean, we see the exceptional momentum continuing in Germany. Like, I mean, we saw in the first quarter the 7% and 37% in quarter two and then our 81% in quarter three and also showed last time that we had 108% in September and we will talk about later also how this looks like in the month of October. Looking into the EBITDA, we're really happy to report a 2% for Q3, 2.3% for year-to-date. And you know this happens on the basis that we have started our marketing campaign on Rx already in January of this year. So -- and we kept the marketing up throughout the entire year. And you are aware of that, we have a full year guidance update on the 3rd of October and this decision was really based on accelerated because of very convincing E-Rx metrics. If you look more into the detail, you see a picture which you are also very familiar with from previous quarters. I mean strong growth overall, but international being a little bit stronger than the DACH region. DACH region is on 18.3% on non Rx whereas international is on 25.7% on non Rx. The Rx number of 79% for the DACH region, I mean, you know that's a blended number. It has the German market and as well as MediService. And in the case of MediService also, again, only being consolidated since May 2023. But overall, great picture across the different segments. This slide you already know from last time, so I do not really want to repeat a lot. Again, I mean 81% in Q3 and we see this dynamic also in the acceleration, it's 108% in September. And maybe I can use this slide also to expand a little bit how we report on Rx. Yes. You know that because I mean some of you also raised that question last time. We have two segments on Rx, there's GKV business, which is probably 90% of the overall business and we have the PKV business, which is 10% of the business in Germany. The e-script only has been introduced for the GKV business, so for the 90%. And we have a share, of course, also of PKV business and this PKV business is because there is no e-script. Right now, it's almost flat. So what that means in turn, whenever you look into a blended number, like, for example, 108% here for our total Rx, that means under the hood, the E-Rx business, so the GKV business, of course, has to have a strong growth. So you need to keep this in mind. It's already a great number, but under the hood even stronger if you look into the E-Rx business, which is a GKV business only. If you go to the next slide, you can see we continue our growth and it's also reflected in the number of new customers. We had an 0.4 million active customers in the last quarter, reaching now almost 12 million active customers. At the same time, our NPS remains high and the basket value continues to grow. I mean, here we see the first impact of the Rx business. But again, also here, keep in mind, I mean, the majority of our business is still the non-Rx business. But anyway, we may see some kind of impact on the basket. And if we now look into the next slide, you can see very interesting news, at least we consider it that way. If you look into the pattern of the orders we received throughout the year, you see that usually at least since 2021, the Q3 is the weakest of the four quarters in terms of number of orders we see. But this time, we have turned it. So for the first time in Q3, the number of orders are higher than the number of orders in Q2. So that's very positive and very good news. And at the same time, our repeat order rate stays at 88%, so confirms quality of our active customer base. Having said this, I would like to hand over to Jasper.
Jasper Eenhorst: Thank you, Olaf and also good morning from my side. So what details orders bring as to the financials with pleasure, I refer to the interim report that we also as always published on our website this morning with all the details and as always the customary high level summary for this presentation in sales up to and including the adjusted EBITDA and for a full transparency sake for reference also the fully loaded EBITDA at the bottom. So here we get the sales growth 20.8% for the organic growth in quarter three. That's the first line that you see here. And for the first nine months of the year, we increased by 428 million or 33.8% to around 1.8 billion and this 33.8%, if you strike out the apple and orange full consolidation of maybe service and actually there is still remaining an organic growth of 23%. Well, non-Rx being 20%, full organic being 23%, so not only on the orders as Olaf already said, but only on the average basket, but now also on the total sales growth of the group, we are seeing the increasing impact of the fast E-Rx growth in Germany. The adjusted EBITDA in quarter three, 2.0%. We increased our marketing in September, it got lower in July and August and the mix of all that is a 2% margin in quarter three. And year-to-date last year, we had a 2.9% margin and this year year-to-date we stand at 2.3%. If you multiply the margin with a significantly increased sales then our total adjusted EBITDA in Euros is €1 million higher at €38 million compared to the same nine months last year. And for reference, the fully loaded EBITDA, which didn't increase by €1 million but even by €8 million that's because the acquisition related adjustments phased out last year. So they are no longer in our numbers explaining the EBITDA increase of €7 million more than the adjusted EBITDA. Then two slides on the margins, basically both with the same message and the message is we are in control and we continue to focus on the details to improve while also grabbing the opportunity that we have in front of us. The overall European pharmacy opportunity and particularly the E-Rx opportunity in Germany. So this is the gross profit margin for the total group. To the left side, the three quarters of this year, a slight one could say it's stable, but a slight 0.2% from Q2 to Q3 can be because of seasonality, etcetera. But of course, there's also impact from an increased share of Rx. But in the underlying base, you can also see a continuation of our purchasing improvements and of our platform model impacts. To the right side, the same number gross profit margin for the nine months. The reported number in the middle two columns going down. Why? Because of the impact of maybe service, we will see a positive impact one slide later. The apple and apple is the two columns to the right. And there you see it's basically stable, same gross profit margin despite the very fast growth that we have been achieving. There is some impact of Rx in the number, but at the same time there's a lot of positive mix impact from the countries and including again purchasing improvements and more other income including from platform. So overall here a gross profit margin which is excluding MediService around 28%, but the clear fully loaded number is above 23%. And to the next slide, please. The cost performance, so here basically the same to the left you see one slide deck, please. Yes, thank you. Though cash is very important, but in a couple of seconds, thank you. So the cost performance around 21% of sales, you see a consistently an increase from Q2 to Q3. I think that is clear to everybody there is some impact of our decision to accelerate in marketing. And immediately I'm going to the full right here of the slides. So you see that our cost as a percentage of sales slightly increased compared to last year. A lot of elements in there. There two elements are slightly deliberate increase of our marketing to invest in our future building of our total customer base. There's also a minimum wage rate increase that we see as a total company. But at the same time, we continue to harvest the benefits that are there if you are a market leader in your countries and that is then reflected in efficiency and scale. So also here, continue to focus on margin improvements while at the same time going after the unprecedented opportunity we are seeing. And then indeed we go to the cash on the next slide. We started the year with 204 million of cash. This is here defined as our cash balances and our short term deposits that we're having 204 million then the cash we get from our positive operating result of around 37 million, 10 million positive impact from changes in working capital. Yes, we have a lot of focus on working capital, but also this is the benefit that we are still having the seasonality from the start of the year, which will be first in the fourth quarter as it is doing each year. Then we have our investments of a little bit below 30 million and then the financing, which is including according to IFRS also the cash that we are paying, for example, for our leases. So we started the year with 204 million of cash and we are standing at the moment at 210 million. And with that, I hand back over to you.
Olaf Heinrich: Yes. Thank you very much. Thank you very much. So let's get into the E-Rx update session and I think we summarized it right well in the title of this slide. I mean, we see really the momentum and we see a further acceleration of our momentum. And it's reflected in a fast increase in app downloads. We'll talk about this in a couple of seconds. And also very interesting to see we are turning the E-Rx business into an app business. Right now, already 90% of our e-scripts are being submitted via app. And at the same time, we continue our growth. So we had, if you recorded, 81% in Q3, we had 108% for September, and we are able to accelerate to more than 130% in October, which shows that the momentum is ongoing and it is accelerating strongly. And also this is, of course, reflected in the market share gains. So we started at the beginning of the year at 0.27 and then increased it over the different quarters. And then in October, we are at 0.66% market share, which is actually a strong gain from the beginning of the year. So overall, we think we are in a full position for this once in a lifetime opportunity on E-Rx. Let's look a little bit more into the details of this whole thing. So here you can see the app downloads and we decided to also introduce this into the presentation because a lot of you guys are covering it anyway, so we can give a little bit of flavor to this one. And I think it's interesting to see that prior to CardLink, we were on a level of 160,000 to 175,000 at downloads. And now in September, especially in October, we have more than doubled that number. You can see -- also see a strong acceleration on the app downloads. And maybe one or two words on that. I mean this is not completely comparable to, let's say, existing businesses or existing use case or customer journeys. Because I mean, for example, if you think about a messenger and there comes a new messenger, which has some additional features that it's easy to generate tons of downloads at relatively low cost. But what we have to do here and we discussed this last time in our meeting in the beginning of October, we first have to regenerate the awareness on this topic. So new customer journey has never been out there. Rx has never been fully digital. So that's the reason why we are investing into a high profile and broad marketing campaign at the beginning. And then we are because of that, we are really happy and about those high number of downloads showing that we have at least chosen the right way to do the education and then now try to convert that into business via downloads of app. It also shows this company is strong in marketing, it's strong in online marketing, brand building, especially in the area of online pharmacy. If we go into the next slide, very interesting to see. In here we talk about the 90%, but if you look into this what happened since April, I mean April of this year. So prior to CardLink, most of the customers were sending their scripts and via mail. So you see that's grey shaded and mail in this case really means they placed their script in an envelope either the traditional paper script because at the beginning of the year we did not have only e-scripts in the market. But they also because they did not know what to do, they also placed a QR code in an envelope and then send it into us. And some of them already used the QR code to scan it in via the different device we have. So app, a desktop, all those kind of things, but the majority came in via analog. And now only a couple of months later into the game, you can see, I mean, that almost 90% are using this app and it continues to grow. And what does this mean? Of course, I mean, it has a lot of advantages if we start with our customers first. I mean, this is the one stop pharmacy at your fingertip. Yeah. We all know how we use the smartphones. They are always around. Now you have this one stop pharmacy right in your hand and together with a fully digital journey. Our value today, especially when we talk about chronically ill patients, a lot of patients don't go to the doctor any longer. The doctor is issuing the repeat script so they even don't have to see the doctor. Or if they have to see the doctor, then at least they don't have a papers with which they have to handle. It's a fully digital journey. And I mean they can use this app and in this fully digital journey they also have all the other advantages like we mentioned last time, it's the 24/7, it's the availability check. It's the ability to simply add OTC to the basket and to do the payment. So of course, as we all know, I mean, that is fully digital and that adds a lot of convenience and fun from a customer perspective, adding even personalized one to one communication channels. So whenever we have an update, we can send this out to the customer directly on to the smartphone. But of course, also from a regular perspective, it has a lot of advantages. You know, we want to build the best product in the market and this is one of our strong capabilities, building best products and best products we are convinced will lead to a higher customer loyalty and by the end of the day also to reduce marketing costs after installment if you compare that to let's say a desktop business or even the former papers business. And so in the initial results, we showed that last time when we talked about the repeat order rates, so returning customers being significantly higher than in the past shows that we are on the right track here. So it looks like the app helps, the product which we have built helps to really also be able to reduce marketing cost after the installment. And of course, another advantage, but it goes hand in hand, is you can develop this product very agile. I mean, you still have to build additional microservices if you want to add features to the product. But then once you have developed them, it's easy to launch because it's an app only. It's not different browsers, different devices, all those kind of stuff does not exist. It's really I mean you could develop the microservice, you can develop the product features, and then simply launch them into the market. So overall, that's a very good development we see by moving this business towards app business. If we go to the next slide, here we now do not talk about the 108% in September any longer. Now we see it's already more than 130% what we have achieved in October. And I think there's not really anything we need to add to that number. It's a dynamic acceleration of our Rx sales growth. Maybe just one thing, keep in mind under the hood, as I explained earlier, under the hood is even significantly stronger than this number you can see here because of the pickup of our business. So overall, it's a confirmation of the approach we have chosen on Rx. If we go to the next slide, you can see this, of course, is also reflected in our market share. The market share we showed last time was 0.55%. Now has moved to 0.66% in October based on a 55 million addressable market. What I like so much about this development is really I mean if you take the 0.66% and calculate a full year basis based on that, that's 363 million Rx business already based on this market share we have by the end of October. And if you compare that to last year, we had a 151 million business. So that is a tremendous growth. And if you take it one level up and look into the overall company, I mean, it took us many years in the non-Rx business in Germany to get to that kind of a sales level. And now within only couple of months, we are moving the whole thing into a direction like this. That is just great and we are building a fully-fledged pharmacy which has non-Rx as well as Rx and overall it is significantly growing. And at the same time, by doing so, we become a more and more relevant player of course also in the supply of medicines in the German market. So especially when you think about the brick and mortar pharmacies, shrinking number of brick and mortar pharmacies, we are a valuable addition to what happens on the brick and mortar. If we go to the next slide, I mean, it is almost just like a reminder saying, hey, 1% market share equals more than 500 million in sales. I think that's a strong message. And having said that, I would like to hand this over to Jasper.
Jasper Eenhorst: Thank you, Olaf. And yes, it's actually if you can go immediately to the next slide, please. A quite easy job here because our guidance remains the same. But still, I think the numbers itself deserve the attention. So I will repeat the full guidance as we shared with you on October 3rd already. So at the moment, we expect that the sales of our company in 2024 will end up for the full year in the range of between 2.35 billion and 2.5 billion of total net sales. Thanks for the clear updates and it makes us really proud of now the screens are going here where we stand with E-Rx and at the same time largely not related actually to the business of the E-Rx opportunity, our non E-Rx across Europe has also continued to grow beyond 20% this year and we increased our guidance to growing between 20% to 25% fully organically there. Also maybe certainly we expect to grow this year between the single digits towards the mid single digits, but probably a little bit below that number with also growth over there. And the adjusted EBITDA for the full year between 1.2% and 2.2%. The Rx, I think we shared with you a lot of details there. So we know where the floor is and what the current momentum is to give exact numbers on our expectations there. We don't know it ourselves and we look into 2025 and 2026, etcetera. So we don't have specific guidance to Rx, but you know how we started the fourth quarter. So total guidance for the company also confirmed this morning in our press release. We feel at the moment comfortable that we are going to achieve this guidance in all its elements for the current year 2024. And with that, let's see if there are any questions, please.
Operator: We will now begin the question and answer session. [Operator Instructions]. The first question is from Christopher Yonen, HSBC. Please go ahead, sir.
Christopher Yonen: Yes, good morning. Thanks for taking my questions. First on the Rx basket, is there any color you can give maybe how sort of many meds you have to order at the moment, any color on AOV, and if you can't be specific, I would at least prefer or kind of like you to give a bit of color on how they've developed versus your initial expectations because it's always good to have expectations going into this sort of quite significant regulatory change but yes, I'm just curious how that has developed? Thank you.
Jasper Eenhorst: Yes, I think so, Christopher. And yes, specifically because of your second part of the question, I can't give a clear answer because the first one, what is exactly it is not the language that we are talking. But I refer also to when we had on October 4th when we updated our guidance. One of the reasons why we are happy with the developments is that actually we have the confirmation and we had some several hypothesis also internally, the confirmation that actually it is a very strong basket. So directionally, we say it's not totally, but it's almost double of the average basket of the OTC that we are having at the moment. And that means that there's more than one item on average in the basket because otherwise you don't get to that number. So that's all the color I want to give. So you said is it up to your expectations, yes, actually it is spot on what we were hoping for.
Christopher Yonen: Nice base. That's clear. Thank you. [Multiple Speakers]
Olaf Heinrich: Olaf here, maybe in addition to that, it's a nice space, as you said. So we are happy. But one of the components is the mix basket. So the question is always, I mean, how much OTC do they put on top of the different Rx items into the basket. And that is a number we will continue to work on. We are happy with the number we have. It's right on, as Jasper said. But there is always a number you can improve. So of course but the overall answer is exactly on what we expected.
Christopher Yonen: Perfect. And then my second question please. On the international market, I sometimes find it a little bit difficult to stay up to speed on where we stand with respect to certain legislative changes, your own market share in some of the key markets. Is there anything that you would like to point out as far as the international segment is concerned, anything that we should be aware of? Thank you.
Olaf Heinrich: I mean, if the question is related to, let's say, legislative changes or things business model relevance of no, there's nothing we would like to point out. Of course, the international is we are in different countries and some of them are growing stronger than others. And that is what you can also see if you look, for example, into web traffic or things like this. But that's probably the only thing. Some of the countries really successful and others we have to work a little bit harder, but overall nothing really to report on.
Jasper Eenhorst: So that's the regulation in the end. And then Chris, yes, so we know already because that's we have commented on that several times that we as a company are the clear market leader in Belgium and also, for example, in Austria. And we don't publish any details there, but there have been a lot of publications throughout 2024 already of external parties indicating that it seems like we have also the clear number one position in Italy now. So that's the sort of news that we have at the moment though we don't give any details on it. But I'm happy to refer to those reports where actually we had a celebration when we saw those lists.
Christopher Yonen: Thank you, thanks a lot.
Jasper Eenhorst: Thank you.
Operator: The next question from Jan Koch, Deutsche Bank. Please go ahead, sir.
Jan Koch: Good morning. Thanks for taking my questions. I have three, if I may. The first one is on your non-Rx guidance. The midpoint of that guidance implies a meaningful acceleration of OTC growth in Q4 compared to the first nine months. Could you share with us what makes you confident to achieve this growth and also confirm whether the majority of this acceleration is expected to happen in your German OTC business? Then secondly, obviously, quite impressive growth acceleration in your German Rx business, but have you seen any kind of negative impact from the holiday season in Germany in October? And then lastly, on the order behavior of your customers, how many of your customers that use the CardLink solution and order OTC products as well use only your app or to phrase it differently, are there many customers that use the CardLink solution but order OTC still online through your website?
Jasper Eenhorst: Non-Rx, your first question. Year-to-date, we stand at 20. Indeed, we feel at the moment that it is more likely that we will end up above the 20 and that's why we updated our guidance range to the positive. That would indeed mathematically mean that Q4 is going to be stronger. We still have Black Friday or November, December. And we don't know, but that's our best estimate at the moment. And one of the reasons is the strength continuing in international, but also with the marketing we do in Rx in Germany. We have the idea that, that is also leading to some additional benefits in non-Rx being more present with the brand. Then the German Rx business, the holiday impact, would you like to comment on it.
Olaf Heinrich: Yes. Maybe I can give some flavor to that. Yes, I mean, there is I mean, we showed you for the summer that there was a little bit of a decline in the growth rate we had throughout the weeks of the summer holidays. And we can see a pattern not that strong, but at least a little bit of that also for the autumn or fall holidays in Germany. So the way we see it, I mean, some of our Rx customers, I mean, they are simply out for vacation and that's the reason why we see also a similar pattern than we saw in summer, not that strong. But this is something which is not new. So this has always been the case in the Rx business. So Rx business has some patterns. So for example, at the beginning of the quarter is always very, very strong towards the end of the quarter, a little bit lower. If you have vacation, a little bit lower. So that is the pattern we know. So it's nothing of surprise, but it does exist.
Jasper Eenhorst: And the first one is this is a difficult one. Yes. I think so too. Yes. Then the third one is a difficult one. I mean, we -- I think we are not in the position to really give a good answer to that now. I think we see that this -- what we see is that the push of the app on Rx also has an impact on our, let's say, OTC customers. So the share of customers using the app also for OTC only is increasing. That is what we can see. But to answer your specific question, if customers who use the app for E-Rx are still using the desktop for OTC on that one, we cannot give an answer. Overall, there's a strong push and movement also in the OTC into an app only. I think that's fair to say.
Olaf Heinrich: Yes, absolutely. And yes, what we'd say from a customer perspective, it makes sense to combine with the free delivery that you have the service.
Jan Koch: Okay, great. Very helpful. Thank you.
Operator: The next question is from Olivier Calvet, UBS. Please go ahead, sir.
Olivier Calvet: Yes, thanks. Good morning. Thanks for taking my questions. The first one would be kind of on regulation. We've seen some news flow around the potential ruling by the ECJ. I was just wondering if you could give us a sense of your expectation maybe in terms of the timing of any regulatory changes if the European Court of Justice were to rule in favor of Rx incentives? That would be the first question. Second question, just in terms of looking at the remainder of the year in German Rx, right, the implied guidance is very wide. You only have two months to go. So I was just wondering if you could narrow down the levels you expect for German Rx in the next two months. You've done around 26 million and 31 million in the last two months. Do you see Q4 closer to three times the October number or should we assume a 20% month-over-month growth rate, which you did in October, is that too low, if you had any sense of I mean, I know it's precise, but perhaps you have a qualitative answer to that? And then maybe, I mean, something I guess, no one really usually asked this, but just seeing as you're a good balance sheet manager, Jasper, your convertible bond is, I believe, callable in January 2026. I was just wondering if it would be fair to assume you look to replace that with another convertible bond and I just wanted to if you happen to have on the top of your mind the conversion price, I mean, I have it somewhere, but I just remember there's a gain in capital increase last year, so I don't know what the -- if there's an update to that number as well?
Olaf Heinrich: Okay. So maybe I start with the first question, which I actually like a lot to say. So for those of you who are not so familiar with that one, so this is a [indiscernible] case in front of the ECJ and it's about the bonus, but not I mean, there has been a 2016 case on the bonus where the European Court of Justice clearly said we are allowed to give a bonus. And this is a follow-up case saying asking the question are we allowed to advertise that bonus. So that is the case in front of the ECJ. And the way the ECJ works, I mean, there's an oral hearing and all this kind of stuff. And then at one point in time, the Advocate General gives a recommendation. And that is what has happened a couple of weeks ago. And I mean, as probably the most of us would have expected, the Advocate General gave a recommendation. Yes, I mean, you are allowed give a bonus, so you are also allowed to advertise this bonus on a pharmacy level. Let's put it this way. And the next step, usually after this, the recommendation of the Advocate General is in the ruling of the court. So the ruling of the court, this is an independent court. So this of course takes into consideration the recommendation of the Advocate General and there are some numbers out there like in 80% of the cases the court follows the recommendation, but doesn't mean anything because you would also be on the other side on the 20%. Usually, if I have it right in my mind, I mean, I think the period is four months, maybe something like this after the Advocate General gave the recommendation. So if that still holds true, I don't know the details. Right now, at the European Court of Justice, we could probably expect a ruling -- final ruling then at the beginning of next year. So -- and again, the outcome we don't know, it's up to the court. And once we have a decision from the court, then of course we will also see how we will react to this one. But as of now, it's only a recommendation from the Advocate General. Second question, Jasper?
Jasper Eenhorst: Yes. Thanks Olivier. In your question, you talked about implicit guidance on Rx, but actually we explicitly say all the time, we don't have guidance on Rx. So the medical calculation, it's just we didn't intend at the start of the year and not now to give any guidance, yes. But I think with where we stand now with over 100% in September, over 100% in October, that's putting a nice floor, I would say, on the expectation for fourth quarter. And I think that's then the best estimate for the quarter to come. I hope that that's helpful because to me that will be, yes, then actually relatively clear, but the magnitude of expectations, everything else remaining the same in the Q4. Very good question on the convertible, very relevant also that you asked the question. The vote is due in 2028 at a net conversion price, which had a premium of 50% of €233. But indeed there is an option at the start of 2026 and yes, of course, we carefully look at the best balance sheets that we have, where we have on one hand, we want to create most value for our stake and shareholders. And on the other hand, we want to have the liquidity and the stability to ensure that we can successfully execute our strategy. But at this moment, that goes beyond today's meeting and when there is something to share which is relevant, then we will share that with the markets. Your question was, does that mean that you will replace it with a new affordable vote, that's one of the many options that are at the moment to manage our balance sheet. As also just disclosed, we have around 200 million also on our balance sheet at the moment. But when the time is here, we will update you please.
Olivier Calvet: Okay. Thank you.
Jasper Eenhorst: Thank you.
Operator: [Operator Instructions]. The next question is from Miro Zuzak, JMS Invest. Please go ahead.
Miro Zuzak: Yes. Thank you for taking my question. Can you hear me?
Jasper Eenhorst: Yes.
Miro Zuzak: I have a couple of questions. The first one would be regarding the gross margin in the DACH region. It has been 22.7 percentage points, a bit down from Q2 and Q1. Can you please just explain again the mix effect, I mean, I understand from MediService, there has been a dilution, of course. But in Q3, that I think that was already a clean quarter, so to speak. Now there is a mix effect between Rx and OTC. Rx has obviously a lower margin. Can you please explain how this will basically impact your gross margins in the DACH region going forward?
Jasper Eenhorst: Can you only remind me what decline you are referring to exactly because there is on the nine month we show the decline there and that is mainly because of the full year impact this year of MediService while last year that was as of mid-May consolidated. The debts after nine months and in Q3 actually compared to Q2, there's only a difference of 0.2%.
Miro Zuzak: So I'm just referring to the yes, the 106.5%, that was your gross margin in the DACH region in Q3?
Jasper Eenhorst: Yes.
Miro Zuzak: That's 22.7% of your DACH region sales. And this number has been 23.1% in Q2. Now it went down. It was slightly up by 0.1% versus last year.
Jasper Eenhorst: Yes, that I understand. Yes, so it's coming from the Interim Report, not from the presentation. But thanks for the question. Yes, now there is some impact there. First of all, there's always seasonality between the quarters, but that's not the explanation here. Now Rx business is having a good amount of Euros gross profit margin. But because of the high value of an Rx, the percentile margin is lower than our average margin. So what you will see when we sell more Rx in Germany, that's what you are pointing towards, then our gross margin as a percentage of sales will be lower. That's what you're seeing. At the same time, our cost as a percentage of sales excluding marketing will be lower too because we leverage the costs with a very high average order and average product value. And those two offset.
Miro Zuzak: And will you say going forward that the margin there will remain on a stable, let's say, 23%-ish or will this move significantly in either direction?
Jasper Eenhorst: Yes. No, the expectation is that, that one will go down considerably with Rx. At the same time, the S&D will go down significantly with Rx.
Miro Zuzak: Okay. Thank you.
Jasper Eenhorst: Anything else apart from this mix impact, the structural change that we see in our gross profit margin, apart from that one, is that we continue to achieve all time better purchasing conditions. We have better conditions when we have direct sourcing instead of either wholesale and see a continuing shift over there. We have our platform business and we have retail media. We have our own brands. So many things continue like we did in the past year to increase the gross profit margin. And of course, you also have the price, but we have many things that we achieved already improvements and we don't have an end to those improvements. But because of mix, where you will see the same in the SME, but then it's a different sign, the gross profit margin in the DACH region as a percentage will come down, yes.
Miro Zuzak: Okay. Thank you. Then the second question would be regarding your KPIs, which reports like number of orders and that basket and so on. Are these number including all your businesses, including MediService or is this just for the DACH region, basically your classical German business?
Jasper Eenhorst: Yes. Very good. So the KPIs, they need to make sense. So we include all our business. But in this case, on the KPI of the average basket value, we also make clear that mailing service is excluded there because mailing service is really having high average order values and that will totally skew the picture. So if we include mailing service, our basket will be much higher on average than the one that we disclosed here. So on the average basket value, it's all our business excluding [indiscernible].
Miro Zuzak: Okay, cool. [Multiple Speakers]. Okay, thank you. Then you mentioned in the presentation that the 108% growth rate at the end of Q3 or the 130%, you basically mentioned for October was actually basically understated -- but they are a bit understated because of the GKV, I think, you mentioned. So I'm wondering, could you please repeat that for me, I didn't get it, I think I didn't understand it, could you please just repeat it again for me?
Olaf Heinrich: Yes, of course, we would love to do so. We have this GKV business in Germany and PKV. Those are the two different ways to be insured. Social and direct. Yes. So in the GKV business, which is the statutory health insurance, I mean, 90% of the Germans are covered that way and 10% the private way. This is how the market works. And the e-script has only been introduced so far for the GKV business, which is the 90% of the business. And with this e-script, we are able to generate a lot of growth, whereas on this PKV, so the privately insured business, the 10% share in the market, there the e-script hasn't been introduced. So that means we don't have a huge growth rate on that volume. And since we as Redcare also have a share of the business is privately insured as we don't show that share of the business, but we have a share of that business and as you can imagine no escrow for that share of the business, so not really a lot of growth on that part. And then that means on the GKV business, which is the 90%, we have a growth rate. And if you combine those two, then you get to the blended 100 more than 130% for October. And if you assume the privately insured business being almost flat, then the other one has to be higher to come to a blended number like that. And that is what I was trying to explain, say, under the hood in the EastGroup business, because only GKV is supported by EastGroup, we are very stronger than what we show as the blended number.
Miro Zuzak: Okay. I got it. Thank you. And this is fair to assume that with you, it's like with your close competitor that the private business was after you had to stop with the official bonus. So it would be the Rx business went down. But after this decline, like one third or so of your Rx business was private. Is that fair to assume, obviously the same share as with your famous previous employer?
Olaf Heinrich: That's a good question. I think, Jasper, we do not give any details. [Multiple Speakers]. We don't talk that language. Maybe it's fair to say that if the market, let's say the market has a distribution 90:10 that probably our pickup was a little bit more than the market. Let's put it this way. So it was more than a 10%, yes. But that's really the only number we want to give. And then you can use that in your calculation model, try to figure out a starting point and then see how it develops over time to get to the e-script growth number. But I mean, we don't want to do that because then next time the private insured business will get an e-script. And so and then we always have the discussion of cherry picking. So that's why we decided to only have one number for Rx, even with the downside that we are not showing the strongest number available.
Miro Zuzak: Okay. Thank you.
Operator: Ladies and gentlemen, that was the last question. I would like to turn the conference back over to Mr. Henrich for any closing remarks. Thank you.
Olaf Heinrich: Yes, again, I mean, it has been a great session. I mean, now we had October and November, but I think the next time now is in March, Jasper.
Jasper Eenhorst: Yes, the trading update is in January.
Olaf Heinrich: Yes, the trading update is in January, but we see you only next time in March and with the where we have I think we will have more knowledge gathered throughout this year also how on the mechanics of E-Rx and that will also be then we presented in the guidance we give then in March. So we are really looking forward, first of all, under the end of the year because it's a great year to direct it. It's really a lot of fun seeing the numbers in the morning. And then, of course, then being back with you guys at the beginning of March presenting the annual numbers and also the guidance looking into the next year. So thank you very much for joining this session today.